Operator: Good afternoon and welcome to AtriCure's first quarter 2010 earnings conference call. My name is Sally and I will be your coordinator for the call today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today’s call. (Operator instructions) And I would now like to turn the call over to Mr. David Drachman, President and Chief Executive Officer of AtriCure. Mr. Drachman, please proceed.
David Drachman: Thank you, Sally. Good morning and welcome to our first quarter earnings conference call. Joining me on the call today is Julie Piton, Vice President of Finance and Administration and Chief Financial Officer. At this time, I would like to turn the call over to Julie for a few introductory comments.
Julie Piton: Thank you, Dave. And good afternoon, everyone. By now, you should have received a copy of the earnings press release. If you have not received a copy, please call Sarah Wichman at 513-755-4136 and she will fax or email you a copy. Before we begin, let me remind you that the company’s remarks today may include forward-looking statements. These statements include, but are not limited to, those that address activities, events or developments that AtriCure expects, believes or anticipates, will or may occur in the future, such as revenue and earning estimates, other predictions of financial performance, launches of new products, and market acceptance of new products. Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond AtriCure’s control, including but not limited to the rate and degree of market acceptance of AtriCure’s products, governmental approvals, and other risks and uncertainties described from time to time in AtriCure’s SEC filings. AtriCure’s results may differ materially from those projected on the call today, and AtriCure undertakes no obligation to publicly update any forward-looking statement, whether as a result of new information, future events or otherwise. Additionally, we will refer to non-GAAP financial metrics. A reconciliation of these non-GAAP measures is included in our press release, which is available on our website. I would like to remind everyone on the call today that the Food and Drug Administration, or the FDA, has not cleared our products for the treatment of atrial fibrillation or AF. The company and others acting on its behalf may not promote any of its products for the surgical treatment of AF or train doctors to use the products for the surgical treatment of AF. AtriCure has provided research grants to institutions for the purpose of conducting certain studies that may be referred to on this call. The primary offers of the papers referred to on this call may also be consultants to AtriCure. With that, I would like to turn the call back to Dave.
David Drachman: Thank you, Julie, and welcome to members of the investment community who have joined us today. We will begin with a brief summary of our first quarter revenue results and then review our 2010 strategic priorities. Next, we will highlight our performance and ongoing opportunities for each of our three business sectors followed by a regulatory, clinical and product pipeline update. After my remarks, Julie will present a detailed review of our financial performance. I will then review our outlook and open the call for questions. Consolidated first quarter revenues of $14 million grew 2% compared to the same period a year ago. Notably, international revenues grew 27%. While our growth was modest, our first quarter revenue performance represents our stronger sales results since the third quarter of 2008. This is important as it underscores the positive trend in our performance and from our perspective, indicates a turnaround from the challenging conditions we experienced throughout 2009. We believe that our plans to strategically expand our US and international sales and marketing platforms is aligned with increasing sales momentum and the initial physician adoption of hybrid procedures. As a result, we are anticipating higher growth trends in the second half of 2010 and we project further acceleration in 2011. We remain committed to growing our business and are poised to build on our market leadership position in cardiac arrhythmia surgery while increasing mind share and strengthening partnerships in the electrophysiology community. We continue to monitor and optimize our cost structure while enhancing our sales and marketing platform, launching several new products, advancing our pipeline, and investing in FDA clinical trials and atrial fibrillation approvals. We see positive indicators and growth opportunities across all business segments. For 2010, our strategic priorities are growth, the successful execution of FDA regulatory and clinical milestones, and customer-valued innovation. To capitalize on our wide range of products, we began to strategically expand our US and international sales and marketing organizations during the fourth quarter of 2009. We believe that we have significantly strengthened our sales organization and are developing traction in new areas and building momentum. Moreover, the additional sales resources are aligned with new product launches and growth platforms such as Cryo1, our FDA dual epicardial/endocardial persistent AF or DEEP AF clinical trial, and the physician adoption of hybrid procedures. Notwithstanding the seven new field sales positions we had in the US and the two new direct personnel in our international markets, our sales force headcount remains below third quarter 2008 levels prior to our restructuring. We anticipate that these new sales positions will increase sales momentum during the second half of this year. We will continue to evaluate our sales trends in comparison to our cost structure and assess our opportunities for furthers sales force expansion during the course of the year. Turning to first quarter sales performance by business sector. First quarter revenues from US open heart products were $7.2 million, a sequential increase of 7%. The first quarter open heart momentum was driven by our best-in-class products and stronger sales organization. In the open heart markets, we offer customers a series of superior bipolar clamping in cryothermia ablation products. Since we launched our Cryo1 system in June of 2009, we estimate having gained over 20% market share in the US cardiac surgical ablation markets for cryothermia products. We anticipate that the US launch of our AtriClip Left Atrial Appendage Exclusion System will further distinguish AtriCure as the market leader and rapidly become a significant new growth catalyst. We estimate that the US open heart patient pool for our AtriClip system is approximately 185,000 patients, representing a market opportunity for our AtriClip system of roughly $115 million per year. We believe that upon approval, we can rapidly penetrate and grow the open heart market. At the upcoming Heart Rhythm Society meeting, Dr. Marc Gillinov, the Surgical Director of the Center for Atrial Fibrillation at the Cleveland Clinic Heart Center, will present scientific material regarding the benefits of left atrial appendage occlusion. He will also be a part of an expert panel discussing left atrial appendage occlusion to reduce stroke risk in AF patients. During these programs, Dr. Gillinov will include results from the AtriClip system along with other technologies for treating left atrial appendage. In addition, we have plans to further develop the AtriClip platform for less invasive, fluoroscopic [ph] and robotic procedures. We believe that less invasive procedures and our approach of not implanting the AtriClip in the circulating blood pool positions AtriCure to be competitive with the devices being introduced for endovascular left atrial appendage occlusion. Turning to our minimally invasive business. Revenues from US minimally invasive products were $3.9 million, a $200,000 sequential decrease. During the first quarter, we invested significant time and resources in preparing sites for our DEEP AF feasibility trial. We believe that the combination of preparing sites for a DEEP AF clinical trial and physicians transitioning their programs from minimally invasive to hybrid approach contributed to the softening of minimally invasive product sales during the quarter. Moving forward, we anticipate increasing growth trends from our minimally invasive products, driven primarily by the physician adoption of innovative hybrid ablation procedures. Several high volume and prestigious centers are in the process of adding the hybrid procedure as an alternative for persistent patients or patients that have failed catheter ablation. We believe that a large and growing number of physicians who previously did not offer standalone minimally invasive programs are planning or considering the adoption of a hybrid approach. Further, we believe that the market response to hybrid ablation procedures is growing stronger. There is an increasing recognition that catheter ablation alone will not reliably generate acceptable outcomes for certain patients with persistent and longstanding persistent atrial fibrillation. This underscores our disease segmentation thesis that the risk benefit ratio favors catheter ablation for intermittent or paroxysmal atrial fibrillation patients, but the patients with persistent atrial fibrillation will often require minimally invasive surgical ablation either alone or in a hybrid procedure. The compounding issue is that the majority of patients diagnosed with atrial fibrillation present with persistent atrial fibrillation, representing the largest unmet need and the primary focus for our minimally invasive products. It has been established that catheter ablation treatments for persistent patients require more time consuming, challenging procedures, which can result in safety risk and inferior outcomes. We hear from EP that they do not want to routinely spend their time performing long, challenging catheter ablation procedures that often result in suboptimal outcomes. A hybrid approach strengthens the partnership between EPs and cardiac surgeons, facilitate a coordinated referral development process in the interest of patient care, and most importantly, provides patients with a comprehensive mapping and ablation procedure. We believe that hybrid ablation will become a standard of care for persistent atrial fibrillation patients and patients that have failed catheter ablation procedures. In addition, hospitals are dedicating significant resources toward developing hybrid procedure rooms. Hybrid procedures are being performed in hybrid rooms, operating rooms, and electrophysiology labs. However, we believe the hybrid room is the best equipped for these procedures. Importantly, there is a growing recognition that hybrid procedures add benefits for a large and growing number of arrhythmia patients. Notably, the upcoming Transcatheter Cardiovascular Therapeutics meeting will highlight hybrid surgical and interventional techniques. In addition, initial results of hybrid procedures that utilize our minimally invasive product platform will be presented by two prominent medical centers at the upcoming Heart Rhythm Society meeting. We anticipate that the results from each of these studies will be highly promising and provide initial evidence advocating the concept of hybrid ablation approaches for the treatment of persistent and longstanding persistent atrial fibrillation patients. The Heart Rhythm Society meeting is an excellent opportunity to educate a large interested group of VPs on both catheter ablation and hybrid approaches, as well as the best fit for different subsets of patients. With this in mind, we will be supporting a continuing medical education event, which will be chaired by Dr. Ken Ellenbogen from the Medical College of Virginia, a key influential leader in the electrophysiology community, and his surgical counterpart Dr. Vig Kasirajan, the Department Chair of Cardiac Surgery, also a prominent thought leader. The meeting will include data from catheter and minimally invasive surgical ablation procedures. Dr. Mahapatra, a Practicing EP and Associate Professor of Medicine and Biomedical Engineering at the University of Virginia, will review data from their hybrid approach. This data will also be presented in the general sessions. Dr. Mahapatra will also review our DEEP AF feasibility protocol. Moreover, we are aware of nine abstracts highlighting the use of our products that have been accepted at the upcoming Heart Rhythm Society meeting. AtriCure’s exposure at this international electrophysiology meeting is unprecedented for a surgical ablation company and further profound affirmation that our products and procedures are gaining momentum and mind share in the electrophysiology community. Turning to our international business. International revenues of $2.9 million grew 27% compared to the same period a year ago. We remain highly encouraged in terms of our international growth prospects and geographic expansion opportunities. On a full year constant currency basis, we believe that growth from the international markets will remain strong and that we are just scratching the surface of the international opportunity. As discussed on our February earnings call, we plan to expand our direct presence in certain high-growth European markets. We are in the process of transitioning one of our highest volume stocking distributors to a direct sales model. This process will have an unfavorable impact on the second quarter as the distributor sells off their existing inventory. However, we believe that this transition will begin to accelerate our European growth trend during the second half of the year and throughout 2011. In addition, we have realigned resources to begin working to withstand our presence in Central and South America. Moreover, the Canadian market is primarily using competitive cryo products. We anticipate receiving approval for our cryo system from Health Canada by year-end 2010 and plan to launch our disposable cryo products throughout our Canadian distributors. Now a review of our investment in clinical science, FDA approvals and regulatory matters. First, a review of our ABLATE pivotal trial. As you may recall from the February earnings call, our plan was to file the final ABLATE PMA module during the first half of 2010. We’ve recently engaged with FDA to alert them of the impending submission. During these discussions, FDA indicated that they now recommend that we wait to file our clinical module until we have data from our continued access study in order to enhance the analysis and conclusion of the ABLATE clinical trial. These recent discussions are inconsistent with our pre-PMA meeting held in October of 2009. Based on our understanding from the October 2009 pre-PMA meeting, our plan was to file the ABLATE clinical module in parallel with conducting a continued access study and then present the results from the continued access study as additional information at the panel meeting. We believe the difference in direction provided by FDA is based largely on the agency having assigned a new reviewer to the program. We now have a highly engaged reviewer assigned to the project and are in frequent contact with the agency regarding the PMA. In light of these circumstances, FDA agreed to an immediate in-person meeting held on April 30th that included the Director of Cardiovascular Division of FDA as well as the entire FDA review team to evaluate the options for providing additional data in a timely and efficient manner. We are currently researching several alternatives for meeting the agency’s request for supportive data, including leveraging clinical data from our own RESTORE clinical trial. In the next several weeks, we will be meeting with the agency again to discuss a variety of options to arrive at a conclusion regarding the format and timing of the final module. We will also be discussing the most appropriate format requirement and use of the data generated from our continued access protocol. In terms of our DEEP AF feasibility trial, we recently received conditional FDA approval to initiate the study. The conditional approval allows for up to five centers and 30 patients. The five prestigious centers have been involved in European training and investigators meetings in order to develop the protocol and prepare for enrollment. We anticipate initiating enrollment during the second half of this year. Our hybrid procedure combines the benefits of both minimally invasive surgical ablation and catheter ablation and mapping techniques. This hybrid approach leverages the expertise and skills of cardiac surgeons and electrophysiologists to treat patients with persistent and longstanding persistent atrial fibrillation. The trial will use AtriCure’s minimally invasive surgical ablation product portfolio in conjunction with the Biosense Webster THERMOCOOL catheter product line. Turning to our EXCLUDE clinical trial and support of US clearance of our AtriClip system. The path to clearance for the AtriClip System remains a 510(k) process, with supporting clinical evidence. During the fourth quarter of 2009, the FDA shifted the AtriClip review from the General Surgery branch to the Cardiovascular branch of the FDA, and as a result, we were assigned a new review team. We discussed the history of our 510(k) and the filing of an updated 510(k) submission, which included our clinical report summarizing the results from our 70-patient FDA EXCLUDE clinical trial. The final results from the EXCLUDE clinical trial were exceptionally strong, demonstrating 95% efficacy with no device adverse events, meeting the study endpoints. We anticipate that the EXCLUDE clinical results will be presented during the upcoming Heart Rhythm Society meeting and during other major meetings throughout the year. In terms of FDA clearance for AtriClip system, as you may recall from our previous earnings call, we received FDA responses from our November 2009 submission. Independent of the strength of the human data generated from the EXCLUDE clinical trial, we have received questions primarily concerning our March 2007 510(k) preclinical submission and certain documentation associated with animal care practices, protocols and event adjudication. We discussed our preclinical studies with FDA attempting to develop alignment on the level of documentation that we could provide and then we submitted our responses in April of this year. Although we believe there is a body of evidence supporting the safety and efficacy of the AtriClip system, including a series of preclinical studies that resulted in peer-reviewed publications from two prestigious sites, a human study of 34 patients from the University of Zurich, and results from our FDA EXCLUDE clinical trial demonstrating that we met our safety and efficacy endpoints, we are unable to provide the specific preclinical documentation currently being requested by the animal reviewer on the FDA team. Based on recent discussions with FDA, outstanding questions remain necessitating additional animal studies that the FDA review team requires prior to granting product clearance. We currently estimate US launch of our AtriClip system during the first half of 2011. Turning to other regulatory matters. Our Isolator Synergy clamps were originally cleared by the FDA through a 510(k) for soft tissue ablation using our Isolator clamps as the predicate device. After our Isolator clamps received clearance of the ablation of cardiac tissue during July of 2007, we considered the advice of our external regulatory consultant and determine that a new 510(k) was not needed for our Isolator Synergy clamps to change the impended use statement from the ablation of soft tissue to the ablation of cardiac tissue. And that instead we could proceed with a letter to file. Our determination was based on testing that demonstrated substantial equivalents of each product to the extensive bench and animal data, which we believe was consistent with the loads of file requirements. FDA recently evaluated this decision and indicated that a 510(k) was required to be filed for us to market our Isolator Synergy clamps for cardiac tissue ablation. Based on subsequent communications with FDA, we agreed to file a 510(k) for the Isolator Synergy clamps for cardiac ablation indication utilizing existing technical, engineering, animal and human clinical data that we had on file. We submitted our 510(k) in April and anticipate FDA responses in July. We also provided FDA information supporting the safety of Synergy products based on the low incidence of medical device reports and approximately 35,000 human procedures and numerous peer-reviewed publications since January of 2007 when the product was cleared for human use. Importantly, the FDA has not indicated that any compliant action would be required. However, we have taken the initiative to revert to labeling the Isolator Synergy clamps for soft tissue ablation pending FDA clearance of our recently submitted 510(k). Turning to our pipeline and product development initiatives. In order to further strengthen our market leadership position and stimulated growth, we have a series of sustaining innovations planned for release. The innovations included new and improved cryo probe, which we anticipate releasing in the US and Europe in the second half of this year. Additionally, to further support our cryo momentum, we’ve planned to launch a new automated, highly featured, cryo generator during the first half of 2011. This generator is designed to fit within our ORLab system, simplifying the process of toggling back and forth between radio frequency and cryothermia ablation devices. In addition, we have plans to release a Synergy Access and an innovative linear ablation pen. We remain committed to innovation in order to enhance patient outcomes and to maintain and expand on our leadership position. At this point on the call, I would like to turn the call over to Julie for a detailed review of our financial performance.
Julie Piton: Thank you, Dave. I will begin by providing information related to our revenues. For the first quarter of 2010, revenues from domestic open-heart products were $7.2 million, minimally invasive domestic revenues were $3.9 million, and international revenues were $2.9 million. Total revenues grew 2% to $14 million as compared to $13.7 million for the first quarter of 2009. International revenues grew 26.9% on a GAAP basis or 23.3% on a currency neutral basis. On a consolidated basis, first quarter 2010 revenue growth benefitted approximately 0.5% as a result of currency fluctuation. As a reminder, revenues from our multi-functional pen, which is used in both open and minimally invasive procedures, are allocated between open and minimally invasive product revenues based on our best estimate of the pen’s actual usage. Now turning to gross margins. Gross margin for the first quarter of 2010 was 76.5% as compared with 78.5% for the first quarter of 2009. The change in gross margin was a result of an increased mix of international revenues and a reduction in international gross margins driven primarily by the impact of new product sales in the European market. Next, an update on operating expenses. Operating expenses were $12.4 million, a 4.4% increase over first quarter 2009 adjusted operating expenses of $11.8 million, which excludes the $6.8 million goodwill impairment charge we took during the first quarter of 2009. The increase in SG&A was primarily due to an increase in sales and marketing headcount related expenses to capitalize on our growth platforms and an increase in regulatory and clinical expenses primarily due to an increase in third-party TRO cost associated with increased clinical trial and FDA related activities. These increases were partially offset by a reduction in product development expenses and share-based compensation expense. Adjusted EBITDA for the first quarter of 2010 was a loss of approximately $250,000 as compared to with earnings of approximately $600,000 for the first quarter of 2009 and a loss sequentially for the fourth quarter of 2009 of approximately $200,000. Turning to earnings per share. First quarter 2010 loss per share was $0.13 as compared to an adjusted non-GAAP loss per share, which again excludes the goodwill impairment of $0.08 for the first quarter of 2009. The increased net loss per share is due to increased operating expenses and interest associated with borrowings on our credit facility, which was put in place during the second quarter of 2009. In terms of the balance sheet and cash, we ended the quarter with $11.8 million in cash, cash equivalents and investments and we had $4.6 million in gross debt outstanding under our credit facility. Neutralizing the impact of our initial $525,000 payment to the Department of Justice, our cash used in operations was consistent with the first quarter of 2009. At this point, I would like to turn the call back to Dave.
David Drachman: Thank you, Julie. In terms of outlook, we believe that our strategy of aligning targeted investments in our sales and marketing organization with new products and increasing business momentum is resulting in market share gains, review our hybrid approach as a game-changing opportunity, and expect that medical centers will begin adopting the hybrid procedure as a standard of care for persistent patients and patients that have failed catheter ablation procedures. We are anticipating that these strategic initiatives will result in higher growth trends during the second half of 2010 and further acceleration in 2011, which should be strengthened by the anticipated launch of our AtriClip system. In terms of the second quarter, we anticipate that revenues will be relatively consistent with the first quarter primarily as a result of transitioning one of our largest European distributors to a direct selling model. We anticipate a modest increase in operating expense for the second quarter driven by clinical research and product initiatives. The management team at AtriCure understands the opportunities and challenges, and we are passionate about executing the vision that we have for the company moving forward. Finally, the men and women of AtriCure remain inspired and united by our mission and confident in the power of our strategic plan. We believe that AtriCure is well positioned to deliver results for patients, customers and shareholders. We will now open the call for your questions.
Operator: Thank you. (Operator instructions) And your first question comes from the line of Matt Dolan. Please proceed.
Matt Dolan – Roth Capital Partners: Hi, Dave and Julie, good afternoon.
David Drachman: Hi, Matt.
Julie Piton: Good afternoon, Matt.
Matt Dolan – Roth Capital Partners: Couple questions, Dave. First on growth, it has been one of your primary initiatives. You outlined kind of the progression here into the back half of the year. I mean, what should we be thinking about in terms of real achievable growth rate for this business over the course of the next couple years? We’ve talked about inflection points a lot in the past. But what type of opportunity do you look at?
David Drachman: Certainly, in terms of growth rates, I’d rather focus on the opportunities that we have. We have certainly a significant opportunity just in terms of coming back and strengthening our sales organization. We did below 50. We’re now at 55 US reps and we have a stronger and more expanded international presence. So I think if you look at our business segments, the open business is stronger. It grew 7% on a sequential basis. Although minimally invasive was down, we believe that minimally invasive will be up in the second half of the year and that we have significant momentum that we will begin to demonstrate that during the second half of the year and certainly throughout 2011. And although the AtriClip system has been pushed back to the first quarter of 2011, we think that’s still a significant growth catalyst. And we look at the international markets growing at 27%. So we think each of our business segments is showing performance and beginning to demonstrate significant traction. In terms of qualitative information, I’d rather hold off until we are prepared to give more context and potentially reinstate guidance.
Matt Dolan – Roth Capital Partners: Okay. That’s fair enough. And then on the MIS business, now that you have the DEEP AF approval, how do you – are you seeing maybe some type of slowdown there as centers maybe ramp up their hybrid programs? And is it not why this kicks in later on? Or how does that dynamic play out for your MIS business?
David Drachman: I think that’s exactly right. I actually just talked to a physician that – in our clinical trial who had several patients that they were going to send for minimally invasive but they are holding off for potentially seeing DEEP AF depending upon how quickly they can get to the IRB in contracting process. So we certainly saw that the centers that we are transitioning and training and trying to come up to speed either because they were just adopting the approach or because they were participating in the trial, there was a lag in terms of procedures to try to build up a sample size so that they could do some run-in procedures and get more comfortable with the approach.
Matt Dolan – Roth Capital Partners: Okay, great. And then you had an acquisition here recently of ATS, and can you maybe just talk a little bit about your ability to gain share, what your competitive dynamic might look like the cryo side of the world?
David Drachman: We think it looks very good. We think there are certainly short-term and long-term advantages. Certainly in the short-term, while people are reorganizing, we think that’s an advantage. But most of all, we’ve moved the market to two competitors. There aren’t many really high growth, high potential market where there are just really two serious competitors. We think that that’s a major advantage. And also when ATS acquired – when Medtronic acquired ATS, there is certainly intellectual property involved, but they have got a new mechanical valve, they’ve got a fair cardio valve, the additional valve technology and their valve business we think is going to distract – potentially distract their product valve reps from focusing on ablation. And the ablation technology is relatively complicated. And we are laser focused. So the fact that we have two companies versus three and the concept that Medtronic possibly could be diluted based on what’s happening in the heart valve business, both in terms of tissue valves and the movement to transapical and trans-endovascular valves. We think there is a significant opportunity that AtriCure will be the one company that’s laser focused and continues to be the market innovator and leader.
Matt Dolan – Roth Capital Partners: Okay. Last one, just on the regulatory issues you are facing. Is this something you can ascribe the arrhythmia management market or is this is a broader issue of regulatory reform that you are seeing? I just kind of want to get your thoughts on how you are contemplating approval timelines going forward and from what seems to be a new environment here.
David Drachman: I think you characterized it well. It’s a new environment. I think we’re beginning to understand the environment. AtriCure has a lot of projects for a company of our size. Multiple clinical trials, multiple product releases on a yearly basis. So we’ve got a lot of activity with FDA. And all of that interaction with FDA has shifted in terms of the process to get our products approved. So we – I think over the last several months, we have developed a much clearer understanding of what the requirements are so that we can move expeditiously to change our systems to meet the requirements. And I believe that the companies that do that will be able to minimize the challenges that all of us are having with FDA right now in terms of their more rigorous approach to approving products.
Matt Dolan – Roth Capital Partners: Great. Thanks, Dave and Julie.
David Drachman: Thanks.
Julie Piton: Thank you.
Operator: Your next question comes from the line of Timothy Lee with Piper Jaffray. Please proceed.
Timothy Lee – Piper Jaffray: Hi, guys, good afternoon and thanks for taking the question.
David Drachman: Hey, Tim.
Timothy Lee – Piper Jaffray: Just a couple on the hybrid procedure side, any sense as to how many centers have started adopting this technology for this technique, I guess more for the technology itself?
David Drachman: Yes. I think by the end of the second quarter, there will be 15, maybe 16 centers, or could be close to the 20 that will perform hybrid procedures in the US.
Timothy Lee – Piper Jaffray: In terms of the reimbursement for these procedures, there is a surgeon involved and the electrophysiologist. I mean, are they each getting a professional fee? Are they splitting the fee or how is that working out?
David Drachman: Certainly, our procedures are not a new contest. So the hospital basically has the same DRG in place that they would for a minimally invasive sole therapy procedure. And the EP, the codes are the same that they were used for an AF ablation, and the surgical code for the cardiac surgeon is the same. So the physicians have the same reimbursement, comparable reimbursement and the hospital hast the upgraded surgical DRG.
Timothy Lee – Piper Jaffray: Okay. So again there has been no issue on the reimbursement sided then, it sounds like.
David Drachman: We haven’t run into reimbursement issues. We’ve obviously – we are in the early stages and we have the small sample of, as I said, somewhere in the range of 50, the counts moving to likely 20 by the end of the quarter and a relatively small number of procedures. But we haven’t been challenged, to my knowledge, on the reimbursement side, and I paid really close attention to that.
Timothy Lee – Piper Jaffray: Okay, thank you. And just in terms of your revenue growth for this quarter, it was a little less than what we were looking for. Do you ascribe as the market is still taking a little bit of a pause here or did you guys see some ground in the quarter?
David Drachman: I think we see the ground. I think we’ve –once again, I wouldn’t underestimate the sales organization. We obviously need to have a strong sales team. And if you look at last year, EBITDA was $1.6 million, a $7.2 million improvement. I think sometimes people underestimate the job that we did last year on to the circumstances and considering our priorities of preserving our cash and capital structure. Moving into 2010, we really need to rebuild our sales organization. And again, we started to do that in the fourth quarter and 2009. We now have 55 US sales representatives and have a few additional adds in the international markets. It takes a few quarters for people to get up and gain some traction, but I think that’s a very positive step. We had 7% growth in the open market, which, yes, you can contribute a lot of that to the cryo system. But think the larger contribution is the fact that we have RF and cryo that we have the widest range of products. I think that’s a significant factor. And on the MIS side, I do think that we are in a bit of a transition phase, which resulted in maybe a lower revenue number for the first quarter. But we believe that going forward our revenue will adjust and that we will see growth on the minimally invasive side of the business.
Timothy Lee – Piper Jaffray: Got it. Thank you. I’ll jump back in queue.
Julie Piton: Thanks, Tim.
Operator: Your next question comes from the line of Jason Mills. Please proceed.
Jamar Ismail – Canaccord Adams: Hi, this is Jamar Ismail for Jason. I have a few questions. First, can you go over what you think procedure growth were for the quarter? I know you thought minimally invasive procedures were down for you a little bit. Can you just talk about the overall market both in minimally invasive and open heart and what you think about procedure growth going forward?
David Drachman: I think first of all, we’re driving procedure growth rate now on the minimally invasive side. We believe well in excess of 70% share. I think procedure growth for us in terms of sequential procedure growth actually really wasn’t very different. It was fairly consistent. And on a year-over-year basis, we were up 7%. So the 3.9 number versus 4.2 number, some of that is just cycling and not really a reflection of numbers of procedures, although we think again the procedure opportunity for growth and revenue opportunity going forward is meaningful. In terms of procedure growth of minimally invasive, it will happen over time. I don’t want to over-project the timeframe. We believe that there will be incremental growth on the minimally invasive side. The hybrid programs are not insignificant in terms of the work involved in getting a hybrid program up. There is training issues from the procedural side, but there is significant workflow issues, there is logistic issues. It’s not an insignificant process. So it takes time to get a hybrid program up and running. So I don’t want to underestimate that. And also you need a very talented surgeon to develop a hybrid program. So there are very significant opportunities and certain challenges that we have to monitor. So I think it will be a relatively slower growth trend initially, and I think we’ll hit an inflection point once we have 30 or 40 centers that are really up and running and people that are really highly motivated to get trained. I think adoption will [ph] increase and move more quickly. In the open business, we’re seeing an increase in procedures at AtriCure. We believe that our share gains are based on procedural gains. I think the market is still 30% penetrated and should be 70% or 80% penetrated. As you know, the Cardiovascular Roundtable projected that the market would double over the next five years. We think that that’s achievable. The growth catalyst for the market developing on the open heart to a large degree is more sales people. If we put more sales people out on the street, they can train people on our technologies and that’s going to lead to surgeons performing more on AF ablation procedures. So I think more of stronger sales organization that’s laser focused on ablation is one of the keys to growing the market. And later on down the road, one of the key growth catalyst will be the approval, because remember the cardiologist refers the patient. The biggest advantage of the approval, I think or we think, is that we can market to cardiologists. So if I’m the clinical cardiologist, I may not even know that surgical ablation is available or what the results are. So if we can market to cardiologists, when they send patients to surgeons rather than just sending them for the mitral valve, if they have AF, they will have to have the AF fixed as well. Right now, certain surgeons are concerned that the cardiologist primarily wants the mitral valve fixed and they want to make sure they take care of that first so that they maintain that referral and they don’t want to take any additional risk with the ablation procedure. So there are several catalysts. First, I think we can grow the market with a stronger sales organization and more products and simplifying the procedures and increasing training on the products. And secondly, I think the key growth catalyst is actually an approval that allows us to market the cardiologists and surgeons so the cardiologists can refer patients for not just the mitral valve with a CABG, but also for the atrial fibrillation to be corrected. Did I answer your question?
Jamar Ismail – Canaccord Adams: Yes, thanks. It’s very helpful. I have one more. In terms of the P&L and you’re talking about targeting sales and market growth to revenue growth kind of appropriate. Digging down the road, where do you see leverage beginning to come back into the model?
David Drachman: Well, I would think that we would begin to see leverage coming back to the model in mid-2011. We get the clip to market. Hopefully, physicians begin to adopt the hybrid procedure at the rates that we think they will. We have expansion and continued strong growth in the international markets. We have reached a level of sales from that in terms of just sales headcount that we think is indicative and appropriate considering the circumstances. And we would anticipate that we’ll begin to see leverage return during mid-year 2011.
Jamar Ismail – Canaccord Adams: Okay. One more, it’s in terms of gross margin. Where do you see gross margin going from here and with the increased OUS sales in the second half and even the clip band put a little bit back? Where do you see gross margin compared to this quarter?
Julie Piton: Yes. We previously have said we expect gross margins to be in a range of 74% to 77%. And for 2010, I think that’s still a good range for us to operate in.
Jamar Ismail – Canaccord Adams: Okay, thanks a lot.
David Drachman: Thank you.
Julie Piton: Thanks, Jamar.
Operator: Your next question comes from the line of Larry Haimovitch with HMTC. Please proceed.
Larry Haimovitch – HMTC: Hi, Dave. Hi, Julie.
David Drachman: Hey, Larry.
Larry Haimovitch – HMTC: Couple of questions – some of the questions that I had were already asked. So I just want to understand the FDA situation. Did I understand on the clip you’ve done a European human trial, you’ve done a US human trial, both of which had good results, and now the FDA is reviewing the animal data? Did I get that right?
David Drachman: Correct. They are reviewing the animal data from our March 2007 submission. So one of the angst that we have and it’s just part of living in the medical device world is if there were concerns about our animal data, we’ve submitted that in March of 2007, it would have been nice to have gotten that feedback at that time, but that wasn’t the case.
Larry Haimovitch – HMTC: Well, from my standpoint, what’s more disconcerting here is that you’ve got good human data. I mean, after all, we’re going to be putting this equipment in people, not animals I believe. So it just seems pretty ridiculous. What about the ABLATE trial? I wanted to understand exactly – could you elaborate or reiterate the issue that’s going on with the ABLATE trial there? I didn’t quite understand what the issue was.
David Drachman: Well, first of all, on October 2009, we had a pre-PMA meeting with our FDA review team. And the FDA review team wedded the ABLATE clinical trial with us and they made a commitment to come back to us. We came to what we thought was an understanding that we would submit the final module of our PMA module, the clinical module in the first half of 2010. And the module was written and ready to be submitted. In the meantime, we – there was a shift and we were given a new review team. The new review team when we call them to give them – alert them that they would be – that we would be sending in our final module, they wanted to step back and take a second, look, whether or not we should submit the module as it is and then submit the continued access protocol so we’ll have additional data at the panel meeting for whether or not we should wait to submit the module and submit continued access data with the module. So, is that clear, Larry?
Larry Haimovitch – HMTC: So basically they are telling you to not – they are not sure if they want to see the human data yet, the clinical data for all your [ph] data yet. Is that –?
David Drachman: Right. The first review team said – our understanding anyway was submit the module and then run a continued access protocol for a support of data at the panel meeting. That was our understanding. When we shifted reviewers, the new review team thought that they would like to see the continued access protocol and patients from that protocol combined with the ABLATE data into one module and submit the one module. And –
Larry Haimovitch – HMTC: Okay. So when do you finish enrolling the access patients?
David Drachman: Well, we had a – after we had that discussion with FDA, we immediately requested an in-person meeting.
Larry Haimovitch – HMTC: Okay. That’s what you talked about, yes.
David Drachman: We had an in-person meeting that included the division head of cardiovascular devices and the entire review team, our expert consultant statistician, our regulatory consultants, and some of our internal management group. We were able, I think, to talk to them why ABLATE with 55 patients, why the statistical argument is a strong argument in terms of the Bayesian statistics. And that was the sanctioned protocol that FDA put in place with us in 2007. So I think we strengthened our position with the ABLATE data by going through the statistics with an expert. At the same time, we talked about different ways of adding to the body of clinical evidence for the ABLATE trial besides waiting for the continued access study. And we did one 39-patient trial called the RESTORE. That’s our true trial here at AtriCure. We enrolled 39 patients, but we couldn’t complete the trial. It was just too difficult to enroll. That’s when we went back to FDA and renegotiated the clinical trial – the ABLATE clinical trial. So we’re in a position now where we went back to FDA and said, look, we really don’t want to wait. We don’t think that that’s necessarily fair to wait and collect the continued access data. We’d really rather give you other clinical data that would satisfy your need for developing a broader body of clinical data to confirm the ABLATE conclusions and do that in one module and then potentially use the continued access protocol, potentially as a post-surveillance protocol.
Larry Haimovitch – HMTC: Dave, my takeaway from what you just said is the real question might just be that FDA is thinking that 55 patients may not be enough.
David Drachman: That is clearly the case.
Larry Haimovitch – HMTC: Okay, good. Okay. Whereas in the past they had agreed that based on a good Bayesian analysis it would be okay. Now they are basically saying, well, we’re not so sure now?
David Drachman: That’s right. And what we’re saying is we had a plan with one review team. The plan changed, and that’s okay. But rather than waiting for the continued access data, we want to propose certain alternatives to that so that we can give them a greater body of evidence. More patients that were done maybe outside of that protocol, but that adds affirmation and support the ABLATE data so that we can submit the module and move forward with the PMA process.
Larry Haimovitch – HMTC: Right. And so that’s all under debate right now?
David Drachman: That’s under debate right now. However, we’re moving quickly with the FDA. Again, we had the first meeting on April 30th and that was really only about a week-and-a-half after we had the first discussion with them when we began to understand that we had some potential differences.
Larry Haimovitch – HMTC: Okay. That’s great, Dave. Sorry. Did you want to say something else? I’m sorry, I didn’t interrupt you.
David Drachman: No, no. I just think that we will have the second meeting with them fairly soon and should be able to clarify our path going forward in the near-term.
Larry Haimovitch – HMTC: Okay. Thanks, Dave.
David Drachman: You’re welcome, Larry.
Operator: (Operator instructions) Your next question comes from the line of Timothy Lee with Piper Jaffray. Please proceed.
Timothy Lee – Piper Jaffray: Hi, thanks for taking the follow-ups. A quick balance sheet question. Looks like your receivables ticked up sequentially on a year-over-year basis from a DSO standpoint. Anything there that we should be keeping an eye on?
Julie Piton: No. It really, Tim, was due to timing of the revenue stream. It was different this quarter than it was last year’s first quarter. And then we also had a large order that occurred at the end of 2009 that it’s still outstanding. And that was another driver of that component, but nothing is from a collectability or a risk perspective. Our DSO is actually consistent and continues to come down modestly.
Timothy Lee – Piper Jaffray: Got it. And then in the Q [ph], as you shift that European distributor to a more direct model, does that impact any receivables or anything that we should just keep an eye on, just a note or is there anything on that?
Julie Piton: No, I don’t expect much of an impact at all on the receivable side.
Timothy Lee – Piper Jaffray: Okay. That’s all I had. Thank you.
Julie Piton: Thanks, Tim.
Operator: Your final question comes from the line of Charley Jones. Please proceed.
Charley Jones – Barrington Research: Hi, thanks. Just a couple quick items here, Julie. What do you think – how do you think moving to a direct model will affect your gross margins?
Julie Piton: I think we’d see a modest uptick in sort of that market obviously gross margin will go from the distributor margins to the manufacturer margins. But again, as we anticipate higher growth from the international markets, that will be met to some extent on a consolidated basis. But we expect our margins to still stay on a consolidated, kind of 74% to 77%.
Charley Jones – Barrington Research: Okay. And it should have some kick-up in revenue over the long-term because you are getting higher transfer price?
Julie Piton: We would. We would get modest kick-up in revenue also.
Charley Jones – Barrington Research: Same modest, I guess I would think 20%, 30% higher?
Julie Piton: Yes, I think in that ballpark for that region.
Charley Jones – Barrington Research: Okay. And I guess the final question is in relationship to all the conversations with the FDA, Dave. Would you say in some ways things are more positive than they have been in the past because of the amount of dialog you have and the reviewer that you have and their involvement here, or do you really feel like you’ve been sucker punched here?
David Drachman: No, I believe that the FDA obviously is changing. The processes and requirements are rigorous. Sometimes dealing with the changes can be challenging, but we are in control of those changes. We understand very specifically what we need to do to get the EXCLUDE product out to market. We will understand very specifically what we need to do for ABLATE, and we will resource ABLATE and execute the plan that we agree with FDA. So I think we understand what needs to happen. We just need to be very interactive with the FDA considering the circumstances on each of our projects, develop a plan, and move quickly to execution. And management is in the process of doing that. So we feel like the circumstances have shifted a little bit, but we are in control of process.
Charley Jones – Barrington Research: I guess it’s a little surprising how quickly some of the meetings have been set up with FDA and it sounds like you have a pretty quick follow-up meeting. So I guess I just want to be careful not to read in too much positive – too much positivity into this. But it does appear to me that the speed at which they are moving here is different than the speed at which they have been moving for everything else as far as trying to get you guys shot up here.
David Drachman: We are very engaged in every project, and FDA has been very communicable with us. We feel like we have a good cooperative effort and we are going to cooperate and work to develop a plan, and we’ll execute those plans. We’re extremely good at execution. Again, we feel like we’re in control with circumstances. It’s just a matter of staying with it and seeing it through.
Charley Jones – Barrington Research: Final question. How do you feel about the balance sheet? Is it – Julie, are you comfortable with it? And should you get a little bit of cash pick up in the back half of the year as you typically do?
Julie Piton: Yes, that’s exactly – we’re expecting similar trending based on our current visibility, similar trending to 2010 with maybe a slightly incremental usage just because we no longer have access to some grant money for some CapEx that we have in prior years. So I do feel good about the balance sheet and our current general cash position.
Charley Jones – Barrington Research: Great. Thanks a lot for the questions.
Julie Piton: Thanks, Charley.
Operator: This concludes the question-and-answer session. I’ll now hand the call back over to David Drachman. Please proceed.
David Drachman: Thank you very much. We look forward to talking to you on the next earnings call. I would just like to say that we very much appreciate your support. We understand the opportunities and challenges, and we’re very committed to a successful AtriCure. Thank you very much.
Julie Piton: Thank you.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect and have a great day.